Alexander Bevis: So welcome to our interim results call. Thanks, everyone, for making the time to join us this evening -- this morning. [Operator Instructions] So I will pass over to Jo to introduce herself, and then we'll run through some of the numbers. So over to you, Joe.
Johanna Cooke: Thank you, Alex. I hope everybody can hear me. Well, welcome, everybody, and this is my first time talking to you as CEO. So I thought it would be good to give you a little bit of background into my experience, both in the games industry, but also at Frontier. So 30-plus, I don't like to say the number, but I started the games industry working on magazines, which at the time were the only way that people could communicate with players. And in fact, developers were still printing code so that people in their bedrooms could play games by typing them in. I've always been player first. In that time, the players you send in bags of posts in order for us to know what they really think about the games that we were talking about. In the early days, the first games I worked on were IP games. So games like Terminator 2, RoboCop, the Simpsons and actually the first Jurassic Park game, which is a nice full circle for me. But those games were -- the emphasis was on the IP, and it was only when I moved to Maxis, which was one of the first developers of creative sim games or management sims as they were at the time. That's when developer input and understanding what the players wanted and feeding that back into the game to improve on the game became a really essential part of my job, even so far as getting people to create cities and send us in floppy disk so that we can use them to share content. And that's sort of the early stages of my massive interest in working in developers, not just within publishers. But over the time, the industry went through so many changes, which I experienced in publishers, developers and NDs, multiple formats, loads are different. At one time, we were doing 8 different formats on games, which is quite complex. Now we have digital distribution, which has really enabled us to build relationships with players rather than being at the mercy of a retailer deciding how many units to take. And we're in a good place for that. So that gives you a bit of background of my kind of industry experience. I've always been active in the industry. I was on the U.K. Board. I've twice been nominated and recognized as the industry by one of the top women in games. So a little bit of flag waving about me there. But when it comes to Frontier, this may be a new role, but I'm not new to Frontier. I played a big role in bringing Frontier direct to players when we launched Elite Dangerous, which is what attracted me to Frontier in the first place, we had 50,000 players, 50,000 interested kickstarters, and we had to do something with them. And that was the start of our publishing team. I built the best-in-class I thought at the time, and I really still believe it, publishing team engaging directly with them in new ways, and we created our first early influencer creator programs. When Frontier is at its best and at its most successful, it's when we invest in those relationships that help us make much better games. So I will be doubling down on this in the future, and you'll probably get bored of me saying the word player, but I will keep doing it because that, at the end of the day, is how we make our money. I returned in the summer -- CMO. And what we did was reignited that importance. And that has played a critical role in the launch of JWE3, which we'll be talking about as we go on. So a bit about me. I'm happy to take questions at the end if there's anything more that you need to know.
Alexander Bevis: Thanks, Chair. Over back to you for some headlines.
Johanna Cooke: Yes. Okay. So I'm going to recap on the strategy on the next slide. Johnny reset the strategy, but the top headline here is that it's working. I'm committed to delivering against that strategy. We will continue to do so. We're in a really strong position to continue to grow. JWE3 has played a big part in our results today with H1 revenue up at 26% and adjusted operating profit at 76%. So we've raised our guidance to around GBP 100 million of revenue and adjusted profit of GBP 11 million. When we announced we were working on a sequel to Planet 2, which is part of our continued CMS strategy -- sorry, to Planet Zoo. We did it with a video that celebrated our players. This is to set the scene for how we're going to engage with those players going forward. They responded in kind, returning to the game. I think we saw a 10% increase on the previous 3 weeks average game play. And the speculation has been really important for us to be able to work out, give us a chance to add things into the game or just what we're doing and refine our game going forward, which is exactly what we did with Jurassic World Evolution 3 in the summer. Our studio in Canada is busy working on another game to be released in FY '27. And we have an unannounced CMS game scheduled for '28, which will help us continue with this strategy. So we're in a good position financially. Alex will talk about all this later. He likes to talk about the numbers, and I like to talk about the players. So that's how you should see us. And -- but we have our costs under control, and we have money in the bank. I just want to end this slide with some fun facts. In 2025, the number of players playing Frontier titles was up by 34% year-on-year. So we must be doing something right to excite them. And the number of hours played of our games was up by 25% year-on-year. So that to us is -- aside from all these great numbers, it's a recognition that we're doing the right thing. So next slide. So I'm just going to read through this slide because I want to absolutely emphasize what we've already said, and Johnny has said it a lot in the last few calls, but our strategy is delivering. Select, develop, launch, nurture is what we're doing. So one major launch per year. We're going to develop those games over a longer time period. That gives us time to listen to players, to look at what we're doing and make sure we're doing the right thing. We're prioritizing the CMS genre, creative management sims. And also importantly is to nurture what we have. We have strong franchises. You'll see that from the numbers as we go through it. But we want to continue to nurture those franchises, which gives us a lot more certainty in what we're doing. It gives us a lot more confidence in what we're doing because we keep engaging with those players, and we're able to monetize over a longer period of time. Our PDLC is clearly working. We're seeing some really good numbers from what we're doing with Planet Coaster 2 and what we're doing with Planet -- Jurassic franchise overall. And we continue to have good relationship with the platform holders, so subscriptions, promotions, all of those things are working in our favor right now. Next slide. Okay. I've said it before, but Elite Dangerous was the reason why I joined Frontier. And here we are now, since 2014, we now have 5.8 million units sold and 141 million in revenue. It started with 50,000 highly engaged players who kick started the game. And they need -- we needed to build a publishing team and a marketing team off the back of it. And those players helped to shape the game that we have today. It's a really good example of nurturing and monetizing. In the last 12 months, we've started selling ships. This has allowed our players to reignite with the game. The franchise is delivering revenue growth of over 50% versus H1 last year. We've also continued to release free content, and we've grown the narrative. We're constantly talking about that narrative, which is what keeps people playing the game. And sentiment and player engagement has grown as well. Monetization, we'll continue to look at things and see what works. In December, we had the record-breaking month for Arx, which is the currency that people buy in order to spend in game. And Elite Dangerous is well positioned for the future. It's a great brand, and there's a lot of brand equity there that we can continue to take advantage of. Planet Coaster, that's the second game I launched at Frontier actually in November [ 2016 ]. Absolutely love this game. It was, as I've said before, I have a love of creative management games. And with that, we really focused on how can we get players to create content, which is why Steam Workshop was installed in the game at the time. I initiated, in the summer, a return to thinking about what player is doing. We had coaster heads in 2016. A lot of them continue to engage with us now. Over the last -- since the launch of Planet Coaster 2, we have released 8 free major updates. All of those have been improvements in the game and things that players have wanted, focusing on what they're requesting. We've also released 3 PDLCs. The Sorcery Pack was released in September and the Toy Pack in December. Both of them had great attachment rate. And actually, both those PDLCs have higher attachment rate than those that we released with Planet Coaster 1 after 30 days. But what's really important is that the review sentiment has improved. Our overall ratings are at 71%, but we're now at 80% for most recent reviews. So we're seeing a lot of momentum with Planet Coaster 2. Jurassic World Evolution well, the sales speak for themselves, but the important thing here is to know how our players responded to the game. One of the things that we did a little bit differently was to expose this game early so that we could work out whether we were doing something right quite often with the game release, there's a lot of uncertainty about how it's going to be received on day of launch and you go in there with everything crossed and worried. We did an event a couple of months out of our release. And at that event, we invited all our key stakeholders, so we could measure and see how they play the games, and we could see whether there was anything, give ourselves a chance to make any changes before launch. We had 500 members of the public, so 500 players sitting, playing the game for 1.5 hours. We also had press and we had influencers. So watching them over that 1.5 hours gives us a really good idea of what to expect on day of release. And that was great comfort taking us into that time, and we were able to speak to our platform holders and talk to them about that. And I think that helped us with gaining really valuable promotional featuring. So player reaction has been extremely positive, 93% positive rating on Steam. We've got a Metacritic steam score of 81%. So our strongest engagement of building these relationships with creators has resulted in so much organic content, which has been very good for us because that is high engagement content and low cost. The franchise has had such a good start to overall -- the whole franchise to H2 FY '26, so where we are now through the promotional period at Christmas. And we've also launched Wetlands, which is the first PDLC. Plus we have really, really good strong sales on Jurassic World 2 over the summer through all the promotions. So we're in a good place with that franchise. We're very pleased about it, and we're very excited for the future. Now Planet Zoo sales have now exceeded over GBP 150 million, which is our highest selling franchise, highest selling game actually. And that still remains a 91% positive review on Steam. We continue to sell. It's achieved an excellent sustained rate of 82% versus H1 of last year. And that's even -- that's not even including any additional PDLC. We haven't released any additional PDLC this year. Planet Zoo is for us a benchmark of how we want to move forward. It's how we see CMS franchises in the future, and there's so much to build on. We're constantly enhancing the player experience, and that has been a really big part of its success today. So a couple of nice player stats for you. Over 200 million hours have been played in Planet Zoo, and that is 3.3 billion animals born in the game and 8.6 million franchisees created and 505 million animals released. That is all adds up to just a huge amount of enjoyment for our players. And the sequel to Planet Zoo has already been announced, and we're going to be releasing that in FY '27. That is going to help us build on this best-selling game. And I really think it's going to be an exciting year for us. So finally, FY '28, we have another CMS in development. We won't be saying anything more about it, but that also is something that we're already working on. Over to you, Alex.
Alexander Bevis: Thanks, Jo. So just picking up some of the points that Jo made, this is a nice pie chart showing the Half 1 revenue split. So you can see there just how strong that Jurassic World Evolution franchise was just over 60% of total revenue. As Jo mentioned, Jurassic World Evolution 3 has done incredibly well, very pleased with its performance in Half 1 and over Christmas, actually in December as well. In the summer last year, we had really strong performance with Jurassic World Evolution 2 in price promotions. So -- and as Jo has already said, the Jurassic World Evolution franchise is in great shape. Planet Zoo was the next biggest franchise with 15%. So bear in mind there, as Jo says, we had actually a PDLC right at the start of the financial year. But in terms of new content, it's quite limited. So to achieve an 80% plus sustain rate is a great performance. I'm very pleased with where Planet Zoo is and obviously very much looking forward to the sequel. And then Planet Coaster there, 11%. So if you look at those 3 CMS franchises all together, they actually represented about 90% of total revenue. So you can see the strength from the strategy that we've reset a couple of years ago. Elite Dangerous, although it's 6% there, small revenue, but pretty mighty in terms of its profit contribution and also its brand status, as Jo mentioned. So very pleased to see that growing. The ship monetization has proved to be a big hit, and we grew Half 1 to Half 1 by over 50% with that franchise. So really pleased with that performance. Just then turning to a few more stats on Jurassic World Evolution 3. I thought it was helpful to show a revenue chart for each of the 3 games, and this is cumulative revenue for the first full 12 months. So the green line is the first game we launched back in June 2018. The blue line is the second game, launched ahead of the movie in '21. And then Jurassic 3 launched behind the movie. The movie came out in June. So each of those periods is a little bit different. Jurassic World Evolution 2 and Jurassic World Evolution 3, quite similar in terms of an autumn launch. But the first 3 months for Jurassic World Evolution 2 are November, December and January. So January being the end of often the Steam winter sale and maybe the start of some other promotions in January tends to be quite a strong month. So we do expect that Jurassic World Evolution 3 by month 4 will be clear of Jurassic World Evolution 2. It's a great start to the franchise. As you might have seen from the stats, if you look back at the stats that we said for the second game, we've actually generated more revenue with fewer units, and we've been a bit more cautious with the amount of price discounting we did at Christmas. So really pleased with how that franchise is doing. The second game did benefit from a Game Pass deal and obviously, the film. So that's the blue sort of tick up you see in month 6, month 7, month 8. We are obviously talking to all the platforms about deals, as you'd expect, nothing to announce at this stage. But we fully expect that by the end of the financial year, Jurassic World Evolution 3 should be north of GBP 40 million, maybe even mid GBP 40 million in terms of cumulative revenue. So great performance. Looking then at our overall revenue franchise performance. And again, this is adding up all of the revenue across the multiple games in each franchise from the very start of the first launch. So you can see there the strength of that uptick for Jurassic World Evolution 3. You can also see that nice Christmas performance for Planet Zoo. We did a 90% discount on Steam and what we sort of term a mega sale on Steam. They give us lots of featuring in return for that discount, and that's proved to be really popular. We did that for Jurassic World Evolution 2 a couple of times, and that worked really well for Zoo over Christmas to bring more people in. You also see the Christmas uptick for Planet Coaster and Elite Dangerous, that uptick over time has been very good from that monetization. So all of the franchises in really good shape there. Moving then to look at our cash profit performance. So this is adding -- deducting, sorry, all of the costs as they're incurred. We retrospectively, since Jurassic World Evolution 3 came out, put all the costs back in. So you might remember that we didn't put any costs in until that launch happened. So that's why it sort of flattened out as we were investing in the game. Then we launched and you see such a strong tick up in the cash there. That's obviously very pleasing to see. So over -- getting on for GBP 140 million of cash profit for the franchise across the 3 games. Jo already mentioned just how strong the performance is on a revenue basis for Planet Zoo. On a cash profit basis, it's even more startling in terms of the contribution that single game has made. So over GBP 90 million of cash profit now from that single game, launching first on PC and then coming to console. Planet Coaster 2, you can see the tick up there, and this is a great illustration of the drop-through we get from revenue from our own games in particular, in terms of that profitability. And then Elite Dangerous also ticking up nicely. You can see the profit that we're able to build in from a relatively small team working on that game, building monetization and doing free updates. So cash profit, again, on a franchise basis, looking to be in really, really good shape. Just sipping then through some of the numbers on the income statement. We're focusing on the adjusted operating profit measure. Just a reminder of how that works. So we look at total OpEx, but we take out capitalization, we take out amortization, we take out share charges to get back to a sort of cash spend type of number. We also, within the R&D, adjust for the benefit of the tax credits that we expect to see. So we don't do that on a cash basis. We do it on an expenditure basis. So if we expect to get, say, GBP 5 million for the spend that we are investing in R&D this year, we'll record that in this year against this particular measure. So it gets back to what we think is a nice clean cash profitability measure for the company. So starting at the top then, we've got revenue of almost GBP 60 million with the guidance of around GBP 100 million, it means GBP 40 million for the second half. Having delivered a really nice December performance over those Christmas sales, we think it is achievable for us to now beat that GBP 100 million or be around that GBP 100 million. We'd be pretty disappointed if we didn't just go north of that GBP 100 million number. But the guidance we've put out today is around GBP 100 million. Gross margin in Half 1, 64%, that reflects the success of that Jurassic game because we have royalties within cost of sales as well as distribution costs to people like Steam, Microsoft and Sony. So second half, we'll see that reverse a little bit more as the sort of franchises balance out. I think for full year, we're probably expecting maybe 65%, maybe slightly higher than that for the full year in terms of a gross profit margin number. OpEx in the first half, sales and marketing a little bit higher because of course we launched Jurassic World Evolution 3. General and admin, that includes the bonus accrual with the guidance here that adjusted op profit for the year will be around GBP 11 million. We've obviously banked almost GBP 10 million of that in the first half, and we accrue the cash profit, the all-staff cash profit -- cash bonus, sorry, plan against that profitability. So we'll see sales and marketing and general and admin probably reduce a little bit in the second half. So I expect OpEx to be on this basis around maybe mid-50s. So that's how we're feeling about the numbers. Obviously, a very good performance versus last year. Looking then at cash flow. We started the period at GBP 42.5 million. You can see on there the GBP 10 million of buyback plus a small number of fees, so just over GBP 10 million for the buyback. We finished at just over GBP 40 million. We ended the calendar year at the end of December at just over GBP 43 million, so in a great cash position. The adjusted operating measure that we have flows pretty nicely through to cash. We've got some working capital build in the first half because, of course, we launched Jurassic World Evolution 3 towards the end of that period. But very pleased with where we are with the cash position. I think the response to the buyback was very positive. We may well have excess cash that we may well do a buyback again maybe in the summer, but nothing to announce right now on that. But certainly, the feedback we received on that process was very positive. Back to you, Jo to wrap up.
Johanna Cooke: [indiscernible] We said it we can say it again. Jurassic World Evolution has been a big success for us. We're really pleased with that, and it gives us a lot of confidence in our franchise management and our CMS strategy going forward that is delivering. So we are in a good position to achieve sustainable growth. And we've upgraded our financial guidance, revenue of around GBP 100 million and adjusted operating profit of around GBP 11 million. So with that, any questions?
Alexander Bevis: Yes. I think let's move to questions. I'm just going to stop sharing the presentation. We can always back into it if we need to. And if you want to ask a question, please put your hand up. And we'll go to [ Andrew Renton ] first, please unmute and turn your camera on if you like.
Unknown Analyst: Really good presentation. So a couple of questions from me. First is around the Jurassic World movies and just how much visibility you get around them sort of making new movies and sort of helping keep that franchise going? And do you see any risks around sort of cinema attendance and stuff like that? And then second question is just around sort of trends you're seeing across the different consoles and in particular, what your approach is to the switch to you're seeing there in terms of things you would like to release for that?
Johanna Cooke: Okay. Do you want me to take that, Alex? Jurassic World, well, the movies. So we probably get less information early on. So obviously, Universal have movies take a long time to create and they don't always know what they're going to be doing a long time in advance. But we've experienced releasing games before a movie, after a movie, at the same time of the movie, Jurassic World Evolution 3 was after the movie. And there are plenty of opportunities for us to take advantage of that movie tie-in with PDLC. We've got PDLC for rebirth coming up. What we found with JWE3 is actually we kind of transcended the movie in terms of people going to the movie. The franchise is very strong. And we found that a lot of people were actually [indiscernible] in the stake of the game. The franchise is very strong, and it does attract our players, but so does the franchise itself. So it's a very sort of symbiotic relationship, if you like, but it's not necessarily needs to be tied to that movie release at that particular time based on the experience that we've had with the whole franchise so far.
Alexander Bevis: Yes. I think just to jump in and add to that, the first game, we really felt needed a big IP event. With the second and the third game, we're selling to a game audience rather than trying to sell to kind of everyone. So it's quite interesting to see how strong it's been launching after movie instead of before the movie. So as Jo said, with the 3 games, we've tried out all the models. The important thing, as Jo keeps saying, is listening to the player, understanding the player, delivering to the player. So I think the timing of movies versus timing of the games is less important. But clearly, having IP events where you've got a big IP is pretty useful.
Johanna Cooke: It's great for player speculation as well because there's the whole law around it and then all the things are introduced at every game events and movie events. So that is an interesting conversation to have with our players. To answer your second question, trends against console, well, we really want to reach as many players as we can and go to meet them where they are playing. So I'll be a bit vague about this simply because we will be looking at Switch 2. We look at every platform. The important thing is where are they playing, and that's where we will do our best to meet them.
Alexander Bevis: So we've got Will Larwood coming up next.
William Larwood: Firstly, just in terms of if you could provide some comments on sort of the market, the competitiveness and sort of pricing, I'm particularly interested as we look to Planet Zoo sequel, whether you thought about your pricing strategy there? Secondly is just in terms of R&D spend going forward, particularly with complex game and also that FY '28 release, do you expect the R&D spend to sort of increase and pick up from these levels? And then finally, Jo, just sort of the areas where you think you can sort of add or look to improve. Obviously, I understand the CMS strategy isn't going to materially change. But where do you think there's sort of the greatest things that you can change or look to change?
Johanna Cooke: Alex, do you want to take the first 2?
Alexander Bevis: Yes, yes, happy to take the first 2. So competitiveness and pricing, we've always got to have an eye on what other people are doing, particularly if there's a big game sucking oxygen out of the room like a GTA. But what we really like about the CMS strategy is we can never be complacent, but we're sort of protected from above and below. And what I mean by that is the CMS sort of genre is not big enough and interesting enough for the really big companies. But for the small companies, it's hard for them to get in because you do need to invest time and you do need to have that experience. So as I said, we can never be complacent. We've got to live it to the players. But we feel like we can own the CMS space. Now what that means in terms of sort of pricing and competition is we talked about it before, we almost go as high as you dare with the Deluxe price. We want to make sure we capture as much value as we can at the start of a launch around people that are really keen to engage early and having really meaningful interesting Deluxe content is a key element there. The ability for us to tick up sort of base game price over time has come through. If you look at the pricing for Planet Coaster 2 versus Planet Coaster and almost certainly the sequel of Planet Zoo versus the original game, we do have the ability to move price up over time. But we've got to be really careful. Jo is very focused on the player as you keep hearing. So that's #1 priority for us. If we just look at Christmas and the performance there, there's a few stats around saying it was a pretty good performance on Steam. There's quite a lot of people really engaging. And certainly, across the portfolio, we saw really good engagement. But I'd say a lot of that is down to the strategy that we had there, the way that we engage with influencers, the way we engage with players with new content rather than anything sort of sector-wise that's going on. So we always have an eye for the sector, but focus very much is the player. Second question was about R&D spend. So in terms of total R&D spend on a company basis, we're likely to have a pretty similar level, I think, Half 2 to Half 1. We're not looking to grow the R&D at this point. It might be a bit of wage inflation over time. But having gone through the ban a couple of years ago of resetting the cost base, we're going to be very cautious there. And what's encouraging is we feel we're really right now being able to do more with less. We did have to cut the headcount, but we think that the people that we have are really delivering. So we think it's working really, really well. In terms of individual budgets, Jurassic World Evolution 3, actually, the dev budget for that ended up being around about GBP 12 million, and that's because of some of the changes we need to do to the road map to support Universal with the film. If you go back to Andrew's questions earlier about our visibility, the film team within Universal will obviously be pretty secretive about some of those dates and some of that information. So the team has done an amazing job here turning that game around in such a short time and delivering a really great performance. I think overall, for CMS games, in the range of sort of GBP 12 million to GBP 15 million. For complexes games, something around half of that, I think, just in terms of the scale. So give you some idea of what we're looking at in terms of R&D budgets. And then the last one...
Johanna Cooke: I will take that one. So well, firstly, I really think we need to play to our strengths. We've got a strategy. We know what we're doing. But I think more robust planning and a slight rearrangement around how we manage our franchises. So that gives us a much longer tail and gives us more confidence in what we can deliver over a longer period of time. We're focused on our strengths that gives us a differentiator. And I think that's really important going back to your competitive question. We need to be really doubling down on what we're good at, so people recognize that, and we need to be able to finesse that over time so that we can repeat it on every franchise that we have. And I'm also really keen to look at wider monetization, which goes back to the earlier question around Switch or around any platform. We want to go and make sure that we can deliver our brilliant game experiences to as many players as possible. And that means looking at other opportunities to develop on different formats. There are a host of things that we can be looking at that will help us expand our IP portfolio beyond just releasing the individual games as we do.
Alexander Bevis: Okay. Thanks, Will. Ross, is that next?
Unknown Analyst: Just a quick one. Will has taken half of my questions. But let me ask you a slightly different one. Many, many games companies over the last year or so have been talking about rediscovering the relationship with the player. And I'm really interested in your perspective, particularly your background on doing that within the CMS segment. I mean how -- is it easier? Is it harder? Is it different? I'm just interested to get your reflections on that.
Johanna Cooke: All right. Well, I'll give you an anecdote then because I think that might help. So when I came back in the summer, Johnny had said to me, a bit worried about what we're doing in Planet Coaster 2. We need to reignite with players. And we've had a few hiccups, but we've got a really good plan going forward. And the industry -- the marketing side of influencer marketing and creator marketing has kind of beared a lot more to paid content. So it's become an acquisition tool. It's actually become a media platform. But that's not engaging with players. That's buying players. So I've just said, what about all the people that we used to speak to. And let's just phone them up. Let's start talking to them, and let's get them into the office. So we reengaged some of them I already knew from when we launched Planet Coaster. Others were new and had great fantastic audiences. We bought them into the studio. We put them in front of the dev team, and we gave them access all areas to what we were doing. We were prepared to listen to the criticism that they had around the game and actually had publicly had around the game. And we have them playing the game and taking their feedback and use them as sort of a micro user research platform. We also let them record some of the sounds in the game, which is really nice because they could then go away and talk about that. But what was really, really useful given the fact that with this particular group of people that influences in -- they're influencing millions of players to understand really what -- how passionate they are about the game and what really bugs them about what we're doing, but also what they would like to see. So having done that, it gave us a little microcosm of what I really feel that we should be doing in a wider scale. I think we should be mapping our customer journey and finding where are all the different areas that we can reengage with players. If players give us their data, if they sign up to an e-mail, we should be talking to them. And we should -- they're investing in us, it's a value exchange. We need to invest in them. So we have various different cohorts. We have those big influencers who are great because they give us fantastic -- hold nothing back in their criticism, and we have to embrace that and not just hide under a rock about it. But also, if we speak to them correctly and we engage with them the right way, they will tell all other more passive engaged players what we're doing, what they think is good, what they think is bad for the games. So it has been working. It's also good from a cost point of view because we're not spending all that. It's better to talk to players you've already got than have to pay so much money to try and acquire players who are not fully engaged. They're just listening to somebody on the YouTube channel. So with that in mind -- and actually, that's exactly what we did, and it's exactly what I did on Elite Dangerous. Elite Dangerous players helped shape the game in the early days. Our current Planet Coaster players are helping us shape the game. Our players on Jurassic World Evolution helped us release the game because we made quite a few changes. And in some cases, we're even showing those players stuck behind closed doors. And before we've even put an update out, they've told us this, this is wrong and we catch something that doesn't seem quite right. I hope that's an answer to your question.
Unknown Analyst: Yes. And do you think it's possible to develop a deeper player relationship with the CMS player than it is with...
Johanna Cooke: Yes. Yes, I do. Having worked on lots of different games, the fact is they play for many more hours. They're much, much more engaged. They are very creative, and it's so much easier to talk something. Honestly, those stats I talked about with Planet Zoo. You look at those numbers and those players have been playing for 6 years.
Alexander Bevis: Thanks. Patrick is up next.
Patrick O'Donnell: Yes, a couple of questions. Maybe I'll start on JWE3. If you have a sense of the current split between console and PC? And secondly, around that, kind of any changes in the demographic of the player base globally from JWE2, for instance, like the amount of players that bought JWE2 that are buying JWE3? And then just looking kind of longer term beyond kind of '27, you've talked about a release in '28. It looks like that won't be within the existing IP stack. Admittedly, that is probably organic. Just looking at kind of the CMS category, and the cash balance increasing, would you consider IP opportunities within the category to acquire proven IP? And just the last one, maybe for Jo. You've just talked a lot about CMS, et cetera. How applicable do you think this is for, I guess, roadblocks in terms of future thinking of where the IP goes and sort of any collaborations you might have there in the future?
Alexander Bevis: Okay. Why don't I start with the console-PC split for Jurassic World Evolution 3. It's pretty similar to previous games that we've seen. So on digital, it's about a 50-50 split between PC and console. When you add in the physical product, the disks, it sort of makes it maybe 45% PC, 55% console. The split between the consoles is about 2/3 PlayStation, 1/3 Xbox, which is pretty typical of -- I know, Patrick, you do a bunch of work on other companies. So PlayStation is -- tends to be stronger now with game pass having an impact on Xbox. So pretty similar in terms of the console split. In terms of player stats from 2 to 3. Jo, I think you had...
Johanna Cooke: Yes. So for JWE 3, 60% of our current players have bought either JWE 1 or 2, 40% of them are new players, which is really encouraging because we've got great retention, but we are acquiring new players as we go through. To go -- IP opportunities, that question? -- if I get the question right, you're saying are we exploring other opportunities?
Patrick O'Donnell: Yes, look to acquire really just in terms of -- like obviously, you've got the organic push, would you look to acquire within CMS...
Johanna Cooke: I think it would be very much dependent on what's available. We are leading the charge on CMS games. So I think we'd have to think very carefully whether we can achieve the same level of game with a third-party IP.
Alexander Bevis: Yes. Obviously, Jurassic is the biggest CMS franchise that we have. So all we've said for FY '28 game is that it's a CMS. We haven't said whether it's own IP or licensed IP. Patrick, you kind of -- you anticipate maybe it's a new IP. If you think of the 3 CMS franchises that we have, you can probably rule out Planet Zoo because why would we do Planet Zoo, a sequel to Planet Zoo and then another sequel to Planet Zoo. Jurassic, it would mean a 2-year tick between Jurassic World Evolution 3 and another Jurassic game. So it kind of leaves you thinking, well, if it's not Planet Coaster 3, it's going to be a new franchise. So nothing to announce at this stage, but you can kind of work out what we might be thinking for FY '28. And clearly, having a new franchise at some point is an important thing for us. We can't just have 3 CMS franchises. I think 3 years for a sequel is too early. So looking to grow franchises over time is a very important part of our strategy.
Johanna Cooke: But sorry, I misinterpreted your question, Patrick. Did you mean an existing CMS game that's out there for acquisition?
Patrick O'Donnell: Yes, where there might be sequel opportunities basically, yes.
Johanna Cooke: Yes.
Alexander Bevis: Well, I would say we've started -- we're in development for that game. And we haven't announced that we've sort of bought anything. So I might tell you.
Johanna Cooke: And Roblox opportunities. Well, Roblox is really interesting because when you think about particularly CMS games, Roblox, Minecraft, they're very creative platforms. And I see them in many ways as a sandbox in the real sense of the word, a playground for young players to develop their interest in creative games like that before they mature and grow up and then look to a different gaming experience that still sits within that creative environment. So it's definitely conversations that we've had about how can we look to those audiences and bring them up through -- as they mature, bring them and attract them to our games.
Patrick O'Donnell: That's clear. Just one last one. On the expansion of the -- that seems like a big number, new players. Like what did you do differently to bring in that new category of players into JWE3? Just curious.
Johanna Cooke: Yes. So the people talking about it, one, the game is absolutely excellent. And I think that the peer-to-peer recommendations have made a really big difference. Our player reviews are really high. They're up in the 90s. So there's a lot of interest in people going, I might have a go at that for a change. The other thing that we did, and Johnny gets the credit for this because it was so important, is we improved the onboarding of the game. So the first 1.5 hours is really critical as you're probably well aware of any game to make sure that you're able to get people understanding how to play, but also draw them into a deeper gameplay experience. And we spent quite a bit of time changing that and making sure that the game was so accessible to new players. And that's played out in the numbers.
Alexander Bevis: Thanks Patrick. Sean I think you're up next.
Unknown Analyst: I've got quite a few, but I'm going to restrict myself so I don't have to subject everyone on the call to [indiscernible] for too long.
Alexander Bevis: They're all about tax. Aren't they?
Unknown Analyst: Don't worry, Alex. I've got all those questions out of the way now. So first one, I think you've hinted pretty strongly there that the FY '28 game may or may not be a new IP, but certainly over the longer term, you want to expand franchises. I think for me, I think we've discussed previously that you've got some fairly different audiences across the portfolio. Just sort of open question, are there some pockets of potential audiences out there that you think you could build a game to appeal to? Should we think that maybe some of these games will appeal to similar audiences that your existing games already do? Just open question, would love to hear your thoughts. Second game, again, very broadly, and I think you've sort of touched on this with Patrick's question as well. Obviously, you've had enormous success with Jurassic World over a significant period of time, which is obviously a licensed IP without sort of wanting to prejudge and I know you won't say about FY '28. Is that the sort of thing you look to do again? I know, Jo you mentioned your long experience of sort of starting out working with IP games. Do you guys have like a plan to do more of that in the future? Do you think that's sort of maybe in the next 10 years where the business might go? Just really interested to hear any questions on that. And then the final.
Alexander Bevis: Let me chip in and answer those ones, and then we'll do the next one. So Sean, you're on a bit of a fishing expedition there. So you checked plenty of bait into the water. I think we don't really want to say too much about FY '28 CMS, we've hinted there that it could well be a new franchise. And as I said earlier, having a sequel every 3 years is probably too short period. So if we want to do a game a year, over time, we probably need to expand and get to 4, maybe 5 franchises, I think, would be ideal. So having a new one does make a lot of sense. I don't really want to answer any questions about what that might be or not be or is it this audience or the other audience because it's far too early for that. So I don't really want to say -- us to say too much more at this stage.
Unknown Analyst: Yes. In which case, I've got just one more. Could you remind us -- you've mentioned, I think, that you've got potential -- you're in conversations with all the major platforms about subscriptions. Could you just remind us which of those tend to be most material and therefore, what we should sort of be looking out for when we see it appear or should we see it appear?
Alexander Bevis: Sure. So PlayStation have been actually a really, really valuable partner for us on Jurassic World Evolution 3. They gave us a lot of extra promotion and featuring. In terms of the size of the subscription deals, it's the Microsoft deals that tend to be bigger. If you look at just the number of millions of dollars that you receive for PlayStation Plus, on PlayStation versus Game Pass. So we are talking to all the platforms, as you'd expect, those 2 platforms about deals, there are deals around, and we do expect those in the future, but we'd much rather that they were upside rather than being baked into numbers. So I think the guidance we've given, I think, is very sensible to be around GBP 100 million this year, to be growing next year. Clearly, the year after that, depending on what you assume for FY '28, it might be sensible to assume we sort of move backwards before we move forward. But I want deals over those 2 to 3 years to be upside. So we're going to stay quiet until we've got something to say. So I'm not answering any of your questions, Sean, I'm sorry. You got any questions that we can answer.
Unknown Analyst: I didn't expect any answers. Don't worry, guys. More just thinking long term on the first 2. But yes, that's pretty it.
Alexander Bevis: Who's next? Katie is next.
Katie Cousins: Yes, you touched on it earlier in terms of the crossover of players on Jurassic World but more thinking around the Planet Coaster crossover to Planet Coaster 2 and how then that works into your marketing strategy for Planet Zoo Sequel? And are you trying to transfer a lot of those existing players to the new sequel? Or are you focusing on more getting a new layout of players?
Johanna Cooke: Okay. I'll go to that one. And actually, it probably gives Sean a little bit of hope that we do look at the players across all our portfolio. And the portfolio management is really important because we want to move people from one game to another. But let me put it in this context. So when I talked earlier about -- to Ross' question around influencers and who's playing the game and how we get them engaged. We have quite a big crossover between Planet Coaster and Zoo on those players who are very vocal about the game. And in fact, when we were talking to those players at that time, we were in the process of doing all our launch planning for JWE3, and we're able to kind of sneak peek them a little bit of content and whatever. And we found that they are willing to jump from one franchise to another. They are willing to go because it's a similar game play. It's the kind of things they like doing. Some may prefer animals more than they like dinosaurs. But the game play mechanics are often similar through those -- through our different games. So we are finding that we're getting players who -- they've tried one game, they're willing to try another one. And I think that really helps as we go through our sales promotions as people own one game and they see it at a price -- another game at a price that makes it an easier decision to make than making that decision. We definitely saw with JWE3, those new players, a lot of them were players that were influenced by our Zoo and Planet Coaster activities.
Alexander Bevis: I can see. Ross, have you got your hand up again? Did you have another question? Maybe not.
Johanna Cooke: I think Oliver has his question.
Unknown Analyst: In terms of the market or labor market, how are you finding? Because obviously, you went crazy during COVID and then it sort of retracted load those people be made redundant. Are you finding it easy to find talent? What's your churn rate looking like? Is everyone very happy with just focusing on CMS?
Alexander Bevis: Yes. The churn rate has certainly settled down. I think it's around about sort of 8% to 10%, I think, which is pretty typical. Key thing for us in this environment is making sure that people are happy and that they're here for the right reasons, not just because maybe they can't kind of jump to another company somewhere else as we saw a few years ago during COVID. So I think with Jo stepping up, there's a great opportunity to refresh how we do things internally, in terms of internal comms and engagements. So we are sharing a bit more information internally now with people trying to get people a bit more excited. Clearly, it's not everyone's dream to work on CMS games for their whole career, but we want to make sure that people are as engaged as they can be. And if it's not something that they're really passionate about, then perhaps we're not the company for them. So it's just trying to get all those things right. In terms of wage inflation, during COVID, there were some pretty chunky numbers. We have like a 10% plus pay rise for a couple of years, I think it has settled down at more sustainable levels. But clearly, with things like the National Living Wage and national insurance changes haven't exactly helped on the wage bill for us. But we're managing those things. We don't expect to increase our operating costs very much at all, staying pretty flat. We've still got hands up for Ross and for Patrick. I don't know whether you guys have got a follow-up question or whether...
Patrick O'Donnell: Maybe jump in -- just one quick one. On the complex game launch next year, how should we think about that pricing, potential revenue base IP segment? I know you've said it's unannounced, but it's clear they have a strong relationship with Games workshop. So one could assume it could come in that category.
Alexander Bevis: Thanks, Patrick. We said back in the, I think, the annual report last year and maybe a couple of times before that, that they're building on their experience and success. So it's not hard to guess what they might be working on. We haven't got anything to formally announce right now. But you will hear more from us in the coming months and looking forward to getting that game out. I think there's a question earlier about budgets. So in terms of the expectation for revenue contribution and the budget that we spend in terms of development is smaller than the CMS game. The first -- the [indiscernible] game that they did for us back under Foundry in its first 12 months did about GBP 10 million. So I think it's sensible to put something maybe similar, but probably a little bit lower into numbers for that. And obviously, it just depend on the timing of the launch as well. That was a full 12-month revenue. But just to add, very happy with that team. They're a great bunch, and we fully expect them to deliver a really good game. Okay. I can't see any more hands up. So I'm just going to -- [indiscernible] jumped in there.
Unknown Analyst: Sorry, back with one last one. So I know, obviously, in the past, so [indiscernible] is something very different to what you've done that kind of stemmed out of your Frontier Foundry, I guess, whatever that was gamble. If we're looking at uses for your cash, would you consider buying just an existing studio with a couple of existing titles to diversify your revenue streams a little bit? Is that something you still want to do in the medium term? Because that was the thinking behind releasing different types of games, right, and doing your Frontier Foundry label as well.
Alexander Bevis: Yes. I think if anything, the last few years has shown how hard it is to run one studio, let alone multiple studios. And clearly, Embrace had a roll-up model at one point and quite an independent type of model where they just wouldn't try and consolidate, but then you don't get the benefit. So I think we need to really focus on ourselves and what we're doing. That's not to completely rule out M&A, but I think almost certainly, it's going to mean that we just focus on our model, our CMS games, our studio. So in terms of use of cash, as I hinted earlier, I think the buyback went down pretty well. We could have GBP 45 million in the bank by the end of May. So that could be something that's on the cards for us again. Thanks. All right. I'm assuming that no one else is going to sneak in with a question at the end. So just left to me to say thank you very much for joining us this morning. Great to be posting such good results and to have such positive things to say about the future. If you do have any follow-ups, feel free to reach out. We're going to be on the roadshow in the next few days talking to people. But just let us know if you want to reengage and have any questions answered. Thank you very much.
Johanna Cooke: Thank you, everyone.